Operator: Good morning. My name is Laura, and I will be your conference operator today. At this time, I would like to welcome everyone to the Lindsay Corporation First Quarter 2019 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. During this call, management may make forward-looking statements that are subject to risks and uncertainties, which reflect management's current beliefs, estimates of future economic circumstances, industry conditions, company performance and financial results. Forward-looking statements include the information concerning possible or assumed future results of operations of the company and those statements preceded by, followed by or including the words; expectation, outlook, could, may, should or similar expressions. For these statements, we claim the protection of the Safe Harbor for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. I would now like to turn the call over to Mr. Tim Hassinger, President and Chief Executive Officer.
Tim Hassinger: Good morning and thank you for joining our call. With me on today's call is Brian Ketcham, Chief Financial Officer; and Lori Zarkowski, our Chief Accounting Officer. The objective of this call is to discuss our quarter one results. Before we go to that overview, I’ll make a few introductory comments. Our Foundation for Growth initiative was internally announced 12 months ago on this week, and it continues to progress and create positive change for Lindsay. As you've heard me say several times on these calls, my direction when we launched this initiative was for the company to simplify, then grow.  In these past 12 months, we've taken a lot of actions to simplify our company. To name a few, we streamlined the leadership team structure, changed the portfolio through four divestitures, closed a manufacturing facility, announced shared services consolidation plans, made our vision and values more impactful, moved to the implementation stage in several of our value-creation initiatives, and improved several internal business processes. This list is important because it says that we've achieved a lot of the initial steps of the simplify, then grow direction.  Although there are areas we are still working on to further simplify our organization, our focus to grow the company has expanded this past quarter. On this point, about putting more focus on growth this past quarter, I’ve emphasized since I came to Lindsay the importance of technology to the company's future and how I wanted to see Lindsay become a more disruptive force in the irrigation and infrastructure space. Two immediate opportunities to achieve this are through the rapid adoption of Road Zipper and FieldNET Advisor.  Although we don't provide guidance or give specific product information on these calls, I want to provide you with a view on why I continue to be optimistic on what we can achieve with these two market differentiating offerings. For Road Zipper, we recognized the need to address the lumpiness of this business. Our position is to address this need through growing the business and increasing the leasing percent of the total sales. We had a record sales year in fiscal year 2018. And given the long lead times associated with projects, my comments here will focus on fiscal year 2020 and beyond.  We are on target with increasing our leasing portion of the business and we have expanded our global reach capability with Europe being a good example of where our project pipeline is increasing. A key change we’ve made in our sales approach is that we’re focusing on customer needs earlier in the project planning, design, and procurement process than we have done in the past. We track our pipeline based on projects with a 50% and 75% probability of success, and in both cases our pipeline is showing good growth.  Although this business is difficult to change direction in a short time frame, given the length of the time needed for these projects, the data strongly indicates that we’re moving in the direction that we have outlined in prior calls.  FieldNET Advisor continues to show strong growth and we’ve successfully leveraged this differentiation to attract customers. We've seen a good response from larger accounts that recognize the water, energy and labor savings created by FieldNET Advisor can make them more productive and profitable. One customer in the Midwest added FieldNET Advisor to over 250 pivots this past season, and we have also confirmed a large customer in the Southwest region who will add FieldNET Advisor to more than 160 of their pivots. Both large growers run multiple brands of center pivots in their fleet, so the fact that they chose FieldNET Advisor is representative of the value that our solution creates and the potential of the platform.  Road Zipper and FieldNET Advisor represent the change that is occurring at Lindsay, more innovation, more differentiation with a focus on margin expansion. This organization is focused and committed to the goals we announced last year and the necessary steps are being taken to achieve the 11% to 12% operating margin goal for fiscal year 2020.  We are fully focused on gaining margin expansion in these four primary areas: Our manufacturing footprint, G&A, the shared services activities, sourcing and commercial.  My summary on the Foundation for Growth initiative is we are right on track according to the plan we laid out one year ago to the Lindsay organization.  So now, let's move on to our Q1 results. For that, I'll turn the call over to Brian. 
Brian Ketcham: Thank you, Tim. And good morning, everyone. To begin, I would like to cover the $4 million of pre-tax costs incurred in the first quarter related to our Foundation for Growth initiative, as this had a significant impact on our reported results. $3.8 million of this amount represents professional consulting fees that we incurred and reported in corporate expense. These fees are performance-based and correspond to workstream initiative values that have advanced through a stage gate process to the implementation stage. We expect to incur additional consulting fees over the next two quarters as other workstream initiatives advance through the process to implementation.  During the first quarter, we completed the divestiture of our company-owned irrigation dealership, resulting in a loss of approximately $100,000 reported in the Irrigation segment. In addition, we incurred additional cost of approximately $100,000 in the Infrastructure segment in connection with the previously announced manufacturing facility closure.  The remainder of my comments regarding the first quarter will refer to adjusted results, which omit the impacts of the Foundation for Growth initiative. Adjusted results are detailed in the Regulation G disclosure at the end of the press release.  Total revenues for the first quarter of fiscal 2019 were $112 million, a decrease of 10% over the same quarter last year. Net earnings for the quarter were $4.1 million or $0.38 per diluted share, compared to net earnings of $3.2 million or $0.30 per diluted share in the same quarter last year. Total revenues declined $14 million as a result of the business divestitures completed in the fourth quarter of fiscal 2018 and the first quarter of fiscal 2019, while the impact of these divestitures on net earnings was insignificant.  Irrigation segment revenues for the first quarter were $87.6 million, a decrease of $15.8 million or 15% compared to the same quarter last year. Excluding the impact of the divestitures, North America irrigation revenues increased 5% compared to the prior year. The impact of higher average selling prices and higher sales of technology products was partially offset by lower irrigation equipment unit volume.  In the international irrigation markets, revenues decreased $4.5 million or 13% compared to last year's first quarter. Revenues decreased $2.4 million due to differences in foreign currency translation rates compared to the prior year. In addition, higher sales in Brazil were more than offset by lower project sales in developing markets compared to the prior year. Total irrigation segment operating income for the first quarter of $7.9 million was flat compared to the prior year. However, operating margin improved to 9% compared to 7.6% in the prior year. Improved operating margin was supported by the impact of the divestitures, as well as price realization and a more favorable sales mix in North America. Infrastructure segment revenues for the first quarter were $24.3 million, an increase of 15% over the same quarter last year. The increase resulted from higher Road Zipper System sales which were partially offset by lower sales of road safety products.  Under the new accounting standard for revenue recognition adopted as of the beginning of our fiscal year, we were able to recognize a portion of the revenue from the San-Rafael bridge project during the first quarter.  Infrastructure segment operating income for the first quarter increased 30% compared to the prior year. Operating margin for the quarter was 17.6% of sales compared to 15.5% of sales in the prior year. Improved operating margin resulted from a more favorable sales mix and lower operating expenses compared to the prior year. Cash and cash equivalents were $137.2 million at the end of the quarter, compared to $160.8 million at the end of the prior fiscal year. Cash was utilized in the quarter to fund working capital increases in support of sales growth, as well as capital expenditures and dividend payments. No share repurchases were made during the quarter. However, a total of $63.7 million remains available under our share repurchase authorization. At this time, I would like to turn the call over to the operator to take your questions.
Operator: [Operator Instructions] And our first question comes from Nathan Jones of Stifel.
Adam Farley: This is Adam Farley on for Nathan. Just turning to domestic irrigation first, up 5% organically. You mentioned price realizations being pretty strong. Can you be a little more specific on what price contributed to the quarter versus volume and maybe the impact of mix as well?
Brian Ketcham: Yes, Adam. This is Brian. I would say a combination of between price and mix is probably in the mid-teens. Our technology products probably drove another 2 points, so volume for the quarter was down around 10%, and that's recognizing a mix among different regions in US; some regions being up, some being down, wet conditions during the fall harvest also I think had a contribution into -- with the lower volume. But I think the other thing is just the uncertainty that still existed due to the trade situation and some of those things.
Adam Farley: Turning to international irrigation, down in the quarter excluding the negative FX, could you provide some color on what geographic areas are showing strengths and weaknesses? And then what's driving the improvement in Brazil?
Tim Hassinger: Sure, Adam. Let me -- this is Tim, let me give some color on that, and then Brian if you want to add anything further please do. On the international revenues, you said were down roughly 6% same quarter prior year if you exclude the currency impact. The decline is related to lower project activity in the developing markets which was partially offset by improved activity levels in Brazil. Now we do have a very good pipeline of projects in place. These opportunities are identified. I can say in all cases Lindsay leadership has met with the key decision-makers for these projects, and I’ll give you a good example. We just received a large Middle East tender this quarter, and we will share more of those details at our next earnings call. But I would say in summary, the needed efforts to finalize those deals are well underway, and we’re going to continue to update you as we progress on delivering on those.
Operator: The next question will come from Joseph Mondillo of Sidoti and Company.
Joseph Mondillo: I was just saying that, just a follow-up on the last question, could you give us a little more color, a little more sense of how you're thinking about this year in terms of international revenue in terms of what you have in backlog? And I mean, the first quarter down here, do you still think that potentially we could see growth or any sort of directional commentary regarding sort of how you're thinking about the year for international irrigation?
Tim Hassinger: Yes. So Joe, this is Tim. As I’ve mentioned earlier to Adam, we do see a good pipeline of projects in place. Now we all know these projects, the certainty of them can be a challenge on timing. But in terms of the opportunity or the potential, we’re quite encouraged by what we see. So I’ll let Brian give you a little more color on the detail on it. But at a high level, we do have a high level of optimism as far as the potential on some of these large projects coming through yet in this fiscal year.
Brian Ketcham: Yes. I think Joe to add to that, I think we had said at the start of the year that we expected improvement in Brazil. I think that their new President, who was inaugurated January 1st, seems to have a pro ag background. I think just the market environment in Brazil has improved over last year, so we would expect that to continue. I think that other markets in general have tended to balance out. I think South Africa is a bit of a concern, just a little softness there, but I think all-in-all the balance of the other markets I would say tend to balance themselves out.
Joseph Mondillo: I also wanted to ask about the Foundation for Growth activity. I mean you gave a pretty good update on how you’re feeling about that and the progress that you're making and such. Is there any way you can quantify how much of the -- I mean if you do the math relative to the fiscal ‘17 revenue and the margin goals that you're looking at, it looks like $15 million to $20 million plus of savings potentially by fiscal ‘20 or by the end of fiscal ‘20. Is there any way to quantify how much of that you’ve recognized in the first quarter on an annual basis?
Brian Ketcham: I would -- Joe, this is Brian again. In the first quarter, I would say we did see some of that benefit in the -- from the commercial workstream in domestic irrigation, as we talked about price realization, I think that's a small part of it. But during the quarter we moved several initiatives into the implementation stage, and from implementation the next stage is realization. And so that can take some -- a little bit of time depending on the nature of the initiative. But over the next two quarters, we intend -- the plan is to have additional initiatives from each of the workstreams moved into the implementation phase. So to another question you may have on the consulting fees, we would expect over the next two quarters to have higher consulting fees. We would like it to be even higher than what we had in the first quarter because that would represent a higher level of initiatives getting to implementation. 
Joseph Mondillo: So if we exclude the sort of the near-term consulting fees that will eventually fall off, how much of the breadth -- is it fair to say that you haven't really recognized much of the benefit at all through the first quarter in terms of the savings that you're expecting over the next two years?
Brian Ketcham: I think it's fair that that it hasn’t been that much in connection with the total that we’re after. I think, again, I mentioned the commercial workstream, but I think there's also some savings coming from the manufacturing facility closure that we had in the fourth quarter last year. 
Joseph Mondillo: Okay. And then just lastly, exclude -- if you exclude the one-time I guess consulting fees on the corporate cost line, it looks like those costs were still up a little bit over $1 million. What is that -- why are costs going up there in the corporate line even excluding the one-time items? 
Brian Ketcham: Yes, I think I would characterize as the majority of the increase is in support of the project foundation initiatives. As we look at some of the different workstreams, particularly the centralization of shared services, there's some IT costs and personnel costs that in the short-term there's some redundant cost in there that I would again say probably for the next couple of quarters will be elevated until some of those -- until we get to having the centralized shared services in place. So it’s -- the primary -- the most of the increase in corporate expenses is tied to the Foundation for Growth initiative as well. 
Operator: And the next question comes from Ryan Connors of Boenning & Scattergood. 
Ryan Connors: I had a few. First on FieldNET Advisor. Tim, can you just elaborate and refresh us on the commercial model there? Obviously the technology is compelling, but I think the concept of that being a standalone growth engine is somewhat new rather than being complementary addition to the product. So can you update us on how you plan to translate that growth and adoption into the bottom-line?
Tim Hassinger: Yes, Ryan. Thanks for the question. First is, we are offering it at every pivot that the Zimmatic pivot comes with FieldNET on it and then an opportunity to also provide FieldNET Advisor. We are selling it primarily through our dealer network, as part of the overall offering with Zimmatic, but it also can go on competitive machines, recognizing that that opens a door for us to be able to eventually when that decision is made to update or change machines we're in a better position for that then to become a Zimmatic machine that is purchased. We also here in the last fiscal year did announce several collaboration agreements. The three that jump out would be John Deere, Farmers Edge, and DTN. And these are collaboration agreements that are providing either better capability, greater reach. And then in addition to that we also went from 2017 FieldNET Advisor was a US-only offering and then by the end of 2018 fiscal year we had launched or we were in beta test in 18 countries on 21 crops.  So Ryan what you are seeing is an effort to globalize this concept to where our key markets are and where we have made a lot of progress in that area, making sure our dealer network has the capability and understands the importance of selling it and then the last is finding these types of collaboration agreements that only enhance the product and/or increase the reach, and that's our focus.
Ryan Connors: So is there an ongoing data subscription part of that model or is it more just the upfront installation and sale?
Tim Hassinger: Well, it is an upfront cost and there is also an annual subscription.
Ryan Connors: Okay, I mean what I'm driving at is your view that this revenue run rate, the subscription-based part of it becomes meaningful over time, or is it still just part of the upfront sale is really still the majority of the commercial realization?
Tim Hassinger: Yes, we are driving towards it becoming meaningful, having said that a clear focus for us as we see it as a key differentiation in the marketplace for our overall offering.
Ryan Connors: Got it. Okay. And then obviously switching to domestic irrigation there, obviously you are seeking to position the company here for success irrespective of the cycle, but the aggregate demand does matter. And I guess it’s a little surprising to see volumes down 10% at this late stage in the cycle when we -- at least part of our thesis on the space has kind of been that we are seemingly bouncing along the bottom and the things wouldn't get a whole lot worse. So can you just comment on the magnitude of that decline volume-wise? And what you think it signals for the market overall?
Tim Hassinger: Yes, so I'm going to have Brian give you a little more detail on that but just some high-level comments to your point about, I would agree with you overall, bouncing on the bottom, but we don’t want to underestimate right now that 2018 US farm income is projected to decline 12% versus 2017. We also had a later harvest across most of the Midwest, so that did cause a slower fall business for us. Now on the positive side and there definitely is some in the US, the trade deal with the US, Canada and Mexico, I would say the announcement from China that they're starting to buy some US soybeans and corn has brought some fresh air to what would be described as quite a challenging US farming community. So we did see our revenue increase 5% versus same quarter prior year excluding the divestitures, but that's driven by higher selling price and higher sales of technology products and then that was offset by lower volume. So I'm going to let Brian to walk through that but the one area I want to highlight Ryan that I really feel good about it, we have talked about this in our prior earnings call, pricing discipline. We led it in the marketplace, we stayed true to it, and it delivered positive results for us. But Brian, go ahead please.
Brian Ketcham: Yes, I think the other thing Ryan is just that the quarter-over-quarter comps last year in the first quarter I think the overall farmer sentiment was better. There wasn't the uncertainty in the marketplace that we are seeing this year. I think the commodity price environment, especially in regard to soybeans were a little bit better. But I think as we came out of our first quarter some of the -- with the passage of the Farm Bill and some movement on the trade area, I would say some of the uncertainty seems to be lifting a bit.
Ryan Connors: Got it, okay. And then one last one, this is -- and I know this new leadership situation in Brazil is kind of breaking story. But Brian, you mentioned maybe a little more ag positive and I did notice that there was an executive order to I guess bring more of the indigenous lands into agricultural production, which sounded like good news. But can you -- can you just -- have you heard that and do you have any comment on that and what that might mean for irrigation opportunities?
Tim Hassinger: Ryan, I would describe it, we’ve seen an increase in land expansions in Brazil for several years. I would say we would expect that to continue. I am not getting anything that would indicate that it's going to come at a much more rapid rate. What I would highlight in Brazil is the global trade dispute that we see here between the US and China has been a significant positive market driver for that region. To me that’s the bigger news. And then as Brian mentioned, the new President viewed as being very supportive of the ag community has also helped the farmer sentiment there.  So we continue to be on the bullish side for Brazil. And in addition to that recognizing we have a plant located in Brazil. So we see ourselves very -- positioned very well for what we believe is going to be a market that will increase.
Operator: And next we’ve a question from Joe Aiken of William Blair.
Joe Aiken: Hi, this is Joe. I am on for Brian Drab this morning, thanks for taking my question. I was first wondering if you could quantify the impact of the accounting change you mentioned on first quarter revenue, if you might be able to quantify how much was recognized in the quarter that otherwise would not have been?
Brian Ketcham: Yes, Joe. This is Brian. Let me just clarify for those that are in the details of this. But under the old rules where you have multiple performance obligations you recognize the entire project when all the performance obligations were completed. And under the new rules as you split the performance obligations you recognize them over time under certain criteria. So what was the original project for San-Rafael was around $9 million and what was delivered during the first quarter was barrier, a portion of the barrier that was actually a portion also delivered in the fourth quarter which under the transition rules wasn’t able to be recognized under the old rules and wasn't able to be recognized under the new rules but approximately $6.3 million during the first quarter.  Now the installation -- final installation and commissioning of that project has been pushed to March. So there's probably roughly a $1 million that will fall in our third quarter and then the barrier transfer machine itself is a lease that will be recognized over a four-year period.
Joe Aiken: And was that adopted during this past quarter? Is this the first period that that will be reflected then?
Brian Ketcham: Yes, as of the first period -- first quarter of our fiscal 2019, yes.
Joe Aiken: And then just on those Road Zipper projects, where the Alex Fraser and San-Rafael, those were the two larger projects contributing to revenue in the quarter. And is that Alex Fraser project done at this point?
Tim Hassinger: Yes, Alex Fraser was completed in 2018, in the third and fourth quarters of 2018, and as -- in addition we had a large Japan order last year that was completed during 2018.
Joe Aiken: So the San-Rafael was the only large project during this quarter then?
Tim Hassinger: That's correct.
Operator: The next question will come from Jennifer Oppold of Alpine Peaks Capital.
Jennifer Oppold: A few questions please. For the divested irrigation revenue, could you give me us approximately how that -- how much of that is on an annual basis and was that all in the US?
Brian Ketcham: Yes, Jennifer. This is Brian. Yes, the divestitures were all part of North America irrigation and the year-over-year impact of that was about $14 million. 
Jennifer Oppold: And will that be a consistent run rate or about how much we could expect that to be throughout the year?
Brian Ketcham: It will probably go up a bit because in our first quarter of 2019 that's when we completed the last of the divestitures of the company-owned dealership. So there was revenue from that divestiture in our first quarter of 2019. I think we have disclosed at the end of our fiscal year last year that the total impact of the divestitures was around $80 million on revenue. 
Jennifer Oppold: And a couple of questions on the Road Zipper System, what percent is currently leased and how long -- I know you mentioned the San-Rafael lease runs four years, is that a typical lease length?
Brian Ketcham: I would say it varies, I mean those leases that are just for construction projects that could be six months to a year. Then there's other situations where we actually lease and operate the system for the customer, which can be a multi-year situation. I would say at the present time lease revenues are a pretty small percentage of the total and that's an area that we’re looking to try to increase. 
Operator: And the next question comes from Jon Braatz of Kansas City Capital. 
Jon Braatz : Two questions. Number one, it was reported that Hurricane Michael turned over up to 1,500 pivots in the Southeast. What are you hearing from your dealers down there about replacing those pivots and can it move the needle for you in the subsequent quarters? And then secondly, what can you tell us about the trend in steel prices at the moment?
Tim Hassinger: Yes. So Jon, this is Tim. There’s always going to be an opportunity here for replacement as a result of the Hurricane Michael. What we are hearing though is that this is going to stretch out into next spring. So it is happening already, some replacement, but the lead times of defining what insurance payments are going to be et cetera, we see this continuing all the way through the spring. But it will create an opportunity for replacement. And Jon, give me your second question again?
Jon Braatz : The most recent trend in steel prices?
Tim Hassinger: Yes we’re seeing -- if you look at CRU, it is trending down. So we've seen that. We, as I mentioned earlier, had led the marketplace in raising prices to address these increased steel costs. So we are going to need to be competitive in the marketplace, so we are watching that closely. But we are seeing here just most recently a somewhat resending -- receding amount on the CRU related to steel.
Jon Braatz : Tim just a clarification, you said the replacements for the pivots in the Southeast might extend through next spring. Is that -- next spring, is that spring of 2019 or 2020?
Tim Hassinger: Yes, yes. No, I'm sorry, this coming spring.
Operator: The next question comes from Chris Shaw of Monness Crespi Hardt.
Chris Shaw: I just want to clarify answers from earlier on the Richmond San-Rafael bridge project. I think you said you realized $6 million or so in the first quarter and you thought $1 million would be in third quarter. So that means just $2 million to be realized in 2Q?
Brian Ketcham: There was actually about $700,000 that would've been caught up in this transition from the old standard to the new standard that kind of gets lost in the transition. The P&L -- or the net earnings impact of that goes through retained earnings. So what's left on the lease is probably $1 million to $3 million, perhaps somewhere in that area.
Chris Shaw: That would be the 2Q expectation?
Brian Ketcham: No, no, there is nothing expected in Q2. It's the $1 million in Q3 and then the remainder is the lease over four years.
Chris Shaw: And then sort of was a follow-up on the previous question on the hurricane impact. I was reading that the tornado season was pretty light this year, I guess there was some -- I guess not one major storm or something that had passed. But do you have any read on how that would impact some replacement business for you as well? Would that be offset by the hurricane business? I mean is it the non-violent storm that in 4Q was just the number of actual total storms or total tornadoes that are important for you guys?
Tim Hassinger: Yes, Chris, the tornado activity I would say it’s generally in that say May, June timeframe which is kind of third, fourth quarter last year and it was relatively light. So that was in fiscal '18, it remains to be seen what the spring this year brings. But Hurricane Michael, I think because of the level of devastation, plus the fact that it occurred at harvest time for the most part, I think growers had a lot of other issues to deal with other than replacing their pivots and that's why I think we are seeing the replacement period extend a lot longer, just because they really don't need the pivots again until they plant in the spring.
Operator: The next question comes from Tim Curro of Value Holdings.
Tim Curro: Your capital expenditures were up significantly from a year ago. Can you address that a little? And what do you estimate your CapEx to be in fiscal '19?
Brian Ketcham: Yes, for the quarter, irrigation was up a little bit but the majority of the capital expenditure increase was at the corporate level and it’s in connection with our planned move to a new corporate headquarters where we are consolidating three locations into one. So there will be a little bit more capital expenditure there in our next quarter. But I would say, overall for the year, we are anticipating higher -- a little bit higher capital spending than what we've had in the last couple of years. And I would say a lot of it is geared towards either new product related spending or productivity improvement type spending.
Operator: [Operator Instructions]. And our next question will be a follow-up from Joseph Mondillo from Sidoti.
Joseph Mondillo: Just one follow-up question, just related to the Infrastructure segment. So if you exclude that $6 million from the San-Rafael bridge project here in the first quarter, it looks like revenue is still up about 15%. Is the difference there just other Zipper project work that’s not necessarily one of these major bridge projects, is that the main difference? What is the road safety business doing I guess that’s what I am trying to sort of get a sense of?
Tim Hassinger: Yes. So Joe on the road safety products, we’re seeing a decline in the end terminal business. We’re pricing MAX-Tension to cover our full costs, and sales to-date in this space are below our expectations. So given the current competitive environment, we don't see that changing in the near-term. Our manufacturing plant consolidation to the Lindsay plant puts us in a better position to be able to take this action. So overall hopefully it gives you a sense of where we’re seeing right now related to road safety and specifically the end terminal side.
Joseph Mondillo : And so is that whole difference that year-over-year decline 15% excluding that $6 million, is that all road safety?
Brian Ketcham: Yes, I think I mean when you look at San-Rafael bridge project, in every year there's a variety of different sized projects, so it's not like it's an incremental project. Last year there would have been other projects, smaller projects in the quarter, so a portion of it -- if you take out San-Rafael, a portion of it is -- Road Zipper would be down as well. But we don't look at it that way as each project being incremental.
Joseph Mondillo: And then just lastly the government shutdown is that -- do you anticipate that affecting the business here in this current quarter at all infrastructure-wise?
Tim Hassinger: I would say whether infrastructure or even on the ag side, I wouldn't call it of anything of significance but it definitely causes some challenges. One, it’s negatively impacting farmer sentiment given anticipation that there were going to be funds coming to them through the government. So that has created a challenge. And just slowing down the whole discussion on infrastructure, while this is -- while the whole discussion is occurring instead on getting the budget result. I only see negatives on it, but I wouldn't highlight it as something we see as a significant downside.
Joseph Mondillo: So you don't see any federal highway construction projects that are paused because of this -- in the last several weeks being sort of shutdown, that’s not really affected on?
Tim Hassinger: We have not had that yet, no, those would mean if this were to go on to an extended period of time there wouldn’t be some challenges with that. But sitting here today, no, we have not seen that as a major issue.
Operator: [Operator Instructions]. At this time, there appear to be no more questions. Mr. Hassinger I'll turn the call back to you for closing remarks. 
Tim Hassinger: Great, thank you. Well, thanks for your interest and participation in today's call. This concludes our first quarter earnings call and I'm looking forward to updating you on our continued progress in our quarter two fiscal 2019 call. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.